Operator: Good day and thank you for standing by. Welcome to the Second Quarter 2022 Quanex Building Products Corporation’s Earnings Conference Call.  Please be advised that today’s conference is being recorded. I would now like to hand the conference over to your host today, Scott Zuehlke, Senior Vice President, Chief Financial Officer and Treasurer. Please go ahead.
Scott Zuehlke: Thank you for joining the call this morning. On the call with me today is George Wilson, our President and CEO. This conference call will contain forward-looking statements and some discussion of non-GAAP measures. Forward-looking statements and guidance discussed on this call and in our earnings release are based on current expectations. Actual results or events may differ materially from such statements and guidance, and Quanex undertakes no obligation to update or revise any forward-looking statements to reflect new information or events. For a more detailed description of our forward-looking statement disclaimer and a reconciliation of non-GAAP measures to the most directly comparable GAAP measures, please see our earnings release issued yesterday and posted to our website. I will now discuss our record financial results for the second quarter. Net sales increased by 19.4% to $322.9 million during the second quarter of 2022 compared to $270.4 million during the second quarter of 2021. The increase was mostly due to higher prices related to the pass-through of raw material cost inflation, and we suspect there may have been some pull forward of demand as price increases are being implemented. More specifically, we realized net sales growth of 21.7% in our North American Fenestration segment, 13% in our European Fenestration segment, excluding the foreign exchange impact, and 14.7% in our North American Cabinet Components segment. Net income increased by 81.5% to $26.5 million or $0.80 per diluted share during the second quarter of 2022 compared to $14.6 million or $0.43 per diluted share during the second full quarter of 2021. On an adjusted basis, EBITDA for the quarter increased by 40.4% to $45.2 million compared to $32.2 million during the same period of last year. The increase in earnings for the 3 months ended April 30, 2022, was attributable to continued strong demand and increased pricing, coupled with lower SG&A expense, largely due to lower stock-based comp. Moving on to cash flow and the balance sheet, cash provided by operating activities was $19.8 million for the second quarter of 2022 compared to $32.4 million for the second quarter of 2021. The value of our inventory continued to increase during the quarter due to inflationary pressures, which had a negative impact on working capital. As a reminder, we usually generate most of our cash in the second half of each year. Our balance sheet continues to be strong, our liquidity position is solid, and our leverage ratio of net debt to last 12 months adjusted EBITDA decreased to 0.3x as of April 30, 2022. We will remain focused on generating cash, paying down debt and opportunistically repurchasing our stock as the year progresses. As stated in our earnings release, demand remains healthy but inflation and supply chain issues continue to add some pressure. Nevertheless, based on improvements in labor performance, the expected continuation of our pass-through pricing strategy and conversations with our customers, we are increasing guidance for the fiscal year as follows: Net sales are now expected to be $1.18 billion to $1.2 billion; adjusted EBITDA is now expected to be $150 million to $155 million; and free cash flow is forecast to be $65 million to $70 million. Note that our current expectation is that revenue growth for the remainder of the year will likely be driven more by price as opposed to volume, and we continue to expect margin expansion in the second half. From a cadence perspective for Q3, we expect net sales to be up low double digits year-over-year in our North American Fenestration segment, low to mid-single digits year-over-year in our European Fenestration segment and mid-single digits year-over-year in our North American Cabinet Components segment. I will now turn the call over to George for his prepared remarks.
George Wilson: Thanks, Scott. We achieved a record quarter on many different fronts, and we are extremely pleased with these results. We have improved our financial and operational performance over the past few years by staying focused on what we can control. That focus has been on in ensuring the health and safety of our teammates, optimizing asset utilization, improving return on invested capital and generating free cash flow, all while striving to outperform our customers’ needs and wants. Even with so much noise in the market, the success of this strategy has been obvious. In addition, the Quanex team is working extremely hard to make the communities in which we live and work better places, whether that is through volunteerism, focusing on our ESG initiatives or working to develop themselves into better people and teammates. Quanex employees are embracing the opportunity to be a part of something bigger. And for that, I am equally pleased and thankful. I will now discuss our results. As Scott mentioned, demand remained strong across all product lines during the second quarter of 2022, though there may have been some volume pulled forward as price increases were implemented. Volume growth in our Fenestration segments and higher prices in all segments, mostly related to the pass-through of raw material cost inflation resulted in revenue growth of 19.4% year-over-year, on a year-to-date basis, revenue growth of 17.9% versus prior year. The second quarter was no different than the first quarter when it came to dealing with continued supply chain challenges. The rate of raw material cost inflation remains a challenge as we typically see a 30- to 90-day time lag in passing these increases through to our customers. However, as results show, the pricing mechanisms at our disposal are effective. I will now discuss performance by operating segment, and I will start with North American Fenestration. This segment generated revenue of $177.9 million in Q2, which is $31.8 million or 21.7% higher than prior year Q2. On a year-to-date basis, revenue was $324.5 million, which is $50.3 million or 18.3% higher than prior year. Strong demand in our IG spacer and screens product lines, volume growth in vinyl fencing components and price increases across all product lines were the main drivers of the growth. We estimate that around one-third of the revenue growth in this segment was due to an increase in volume and the remainder was due to an increase in price. Adjusted EBITDA was $26.3 million or 27.3% higher than prior year. On a year-to-date basis, adjusted EBITDA was $42.5 million or 15.1% higher than prior year. Improved pricing, reworked vinyl extrusion contracts and volume gains in vinyl fencing components were the primary reasons for the improved performance. We saw margin expansion in Q2 in this segment, and we expect that to continue through the remainder of the year as pricing catches up to inflationary pressures. Our European Fenestration segment generated revenue of $73.4 million in the first quarter, which represents – in the second quarter, which represents an increase of 19.1% year-over-year. Excluding foreign exchange impact, this would equate to an increase of 13%. On a year-to-date basis, revenue was $132.3 million, which is $21.6 million or 19.5% better than prior year. Excluding foreign exchange impact, this would equate to an increase of 15.6%. For Q2, we estimate that around 20% of the revenue growth in this segment was due to an increase in volume with price driving the remainder of the growth. Adjusted EBITDA came in at $15.1 million for the quarter, which was $2.3 million better than prior year, but yielded margin compression of approximately 30 basis points. On a year-to-date basis, adjusted EBITDA is $25.5 million, which is $1.9 million better than prior year. Strong demand in both the IG spacers and vinyl extrusions combined with material-related price increases accounted for the strong performance year-over-year. The rate of margin compression was significantly lowered in the quarter, and we anticipate that margins will continue to improve as the year progresses, and price increases catch up to inflationary pressures. Our North American Cabinet Components segment reported net sales of $72.9 million in Q2, which is 14.7% higher than prior year. On a year-to-date basis, revenue was $135.2 million, which represents an increase of 15% versus prior year. Again, as a reminder, volumes have decreased in this segment year-over-year, mainly because of customers reducing overtime hours worked in their plants, coupled with their supply chain issues. Increases in hardwood index pricing as well as discretionary pricing actions have offset the volume decline and resulted in revenue growth. Adjusted EBITDA was $4.5 million for the quarter, which is $1.4 million better than prior year and resulted in margin expansion of approximately 140 basis points. On a year-to-date basis, adjusted EBITDA of $6.5 million is $200,000 less than prior year and results in year-to-date margin compression of 50 basis points. Timing of price increases, better availability of green lumber, improvements in our lumber yield and labor efficiencies were the main drivers of the positive results in the quarter. As a reminder, we have material index pricing mechanisms in place, but they typically have a 90-day lag, and we will require a period of flat or declining wood pricing before we’re able to fully catch up on our margin performance in this segment. Just like the European Fenestration segment, we do anticipate that margins will improve as the year progresses and price increases catch up to inflationary pressures. Unallocated and corporate costs for the quarter were $3.7 million less than prior year. The main drivers of the lower spending were favorable experiences for medical expenses in the organization as well as lower stock-based compensation expense. Just a reminder that stock-based comp expense is variable and it will adjust with fluctuations in our stock price. Despite the challenging supply chain environment and ongoing inflationary pressures, we remain very optimistic on the remainder of the year. Customer backlogs in all segments remain high. In North America, the housing market remains strong despite the recent interest rate hikes. In Continental Europe and the UK, the demand environment remains healthy although consumer confidence could be impacted if inflation continues to ramp and energy costs continue to increase. Our balance sheet remains strong, and cash flow should improve in the second half of our year. In addition, with 6 months left in our year, we have enough visibility to be able to provide upward revisions on our full year guidance. And to reiterate Scott’s comments, we expect the following: net sales to be $1.18 billion to $1.2 billion; adjusted EBITDA to be $150 million to $155 million; and free cash flow to be $65 million to $70 million. These results would equate to another record year for Quanex, and I would like to thank all of my teammates for their continued hard work and execution. With this new guidance announced, our near-term capital deployment focus will be on generating cash, further paying down the debt and getting more aggressive on our share repurchase activity, which reflects our commitment to return capital to our stockholders and increase shareholder value as well as our confidence in Quanex’s long-term prospects relative to our current trading environment. And with that, operator, we are now ready to take questions.
Operator: Thank you.  Your first question is from Daniel Moore with CJS Securities. Your line is open.
Daniel Moore: Thank you, George and Scott for all the color really helpful. And congrats on a very solid quarter. You gave the volume growth by segment. Maybe just talk to what sort of volume growth is embedded in your revised revenue expectations for the remainder of the year?
Scott Zuehlke: I don’t have that broken out by segment, but I think George alluded to the fact that second half revenue growth year-over-year will be driven mainly predominantly by price versus volume.
Daniel Moore: Got it. That’s helpful. And you also talked about potential for a pull forward of some demand. I know it’s difficult. Any way to quantify it or maybe describe you suspect that occurred across all end markets and to what degree?
George Wilson: Really, we’ll see – the only ability to really pull ahead volume for us is primarily in the spacer business. It’s the – really the only product that we have that pallets well. So we think we’ve seen some pull ahead in spacers in North America and Europe. I don’t think it will be material and will impact the cadence that we’ve given you. We usually – we typically see that when we announce larger price increases. So nothing that I think will impact guidance or is a concern to us right now.
Daniel Moore: Okay. And clearly seeing strong momentum and acceptance on pricing. Just wondering with all the inflation that we’ve seen if you’re getting any incremental pushback from customers across any pieces of the portfolio? We’re still pretty confident in your ability to at least at this stage or level of inflation to push those through.
George Wilson: I think it really – our ability to get prices because I think we work very hard at trying to be transparent with the customer. These aren’t margin grabs. We are truly working to just pass through inflationary pressures that we see. So we are very transparent with the cost pressures that we’re getting. And I think our customers have been willing and understanding to accept that, and we continue to work together as partners. They’re never easy conversations, but I think the fact that we’re being transparent is helping in the conversations.
Daniel Moore: Got it. Helpful. Last one, and I’ll jump back with any follow-ups. But given the balance sheet remains still really strong and the increased cash flow guide for the year obviously expect some working capital to catch up a little bit in the back half of the year. I guess, any thoughts about maybe be more aggressive upfront in terms of the share buyback? Is that your expectation for the remainder of the year? Or are you being cautious in case there are any darker clouds on the horizon from an economic or business perspective? Thanks.
George Wilson: No, great question. And as I mentioned in our comments, I think we have seen strength in our cash flow, especially as we expect it going into the second half of the year. It’s the way it typically works. Considering where our trading as at today, we think our long-term prospects, not only this year, but what we expect in terms of execution on a go-forward basis makes repurchase of our stock a very smart buy. And so I would anticipate upfront that we probably will be more aggressive, definitely at these levels.
Daniel Moore: Got it. Very helpful. Appreciate it. I will follow-up with any others.
Operator: Your next question comes from Julio Romero with Sidoti & Company. Your line is open.
Julio Romero: Hey, good morning, George and Scott.
George Wilson: Good morning.
Scott Zuehlke: Good morning.
Julio Romero: Could you speak to European demand? What are you hearing about the impact of energy costs on consumer confidence? And have you seen any change in consumer confidence in Europe over the past 3 months?
George Wilson: I think that there is absolutely some nervousness. I don’t know if it’s completely translated into us seeing any decline in demand at this point, but you’re hearing signs. It will start more with energy costs and really energy disruptions because at least in the markets that we serve today, natural gas is a huge input to making glass. So those things are where we think it will be hit first. From a consumer side, you hear nervousness, but the demand is still there. And to some extent, it becomes even a positive a little bit for us, at least from the energy side because most of the products that we manufacture are higher end on the chain. So I think what it does do is when someone has to replace a window or a door, they’re actually evaluating energy even more so than they ever have. And then that may be offsetting or spurring some additional demand. We think that’s actually a positive movement, not only in Europe, but in North America on a go-forward basis.
Julio Romero: Got it. That’s helpful. And I guess a broader question is, can you maybe speak to the rate of inflation you’re seeing? And where are you seeing the greatest levels of inflation across your various inputs?
George Wilson: I would say, generally, we are now starting to see some signs of the rate of inflation slowing in more areas than not. I would continue to say some of the chemical feedstocks, stabilizers, different inputs into our – both spacer and vinyl products continue to be the biggest challenge.
Scott Zuehlke: I can add a little bit to that. One positive sign that we’re seeing in the cabinet business is the availability of green lumber is improving to where that should help us hit our numbers and execute on the margin expansion that we’ve laid out.
Julio Romero: Okay. Got it. And I guess just last one for me is I guess, more of a broader question again. But how do you think your businesses may perform in a recessionary environment?
George Wilson: Again, a great question. I will tell you as much as we’re seeing record demand, we also spent an enormous amount of time in our leadership team being prepared and ready to react on the backside. I think the best data point that I can give you is our ability to control what even happened during COVID. We know what triggers the pull in some segments. We are very labor-driven. So, it becomes more of a variable cost that we can back off. I think our performance during that even immediate sharp-down period will translate well. And we know how to do ups and downs, and we have plans prepared to go should we hit.
Julio Romero: Got it. And I will hop back in the queue. Thank you.
Operator: And your next question comes from Reuben Garner with The Benchmark Company. Your line is open.
Reuben Garner: Thank you. Good morning everybody. I had a little bit of connection issues earlier and this may be a repeat question, but from Dan. But you mentioned pull forward, Scott. I am trying to understand, you said – I think you said pull forward ahead of price increases. And I think I was under the understanding that the bulk of your business was kind of contractually on a lag tied to the commodities. So, did you guys implement separate price increases and give notice and you started to see orders pick up? Can you kind of just reconcile those comments for me?
George Wilson: Yes. Without getting into specific details, what I will tell you is – and I think I have mentioned this on previous calls as well, there is really three avenues for us in the pricing mechanisms that we currently use, you have the index pricing, which does have the time lags. And then you have the use of surcharges. If we can tie it to a specific input cost that’s not on a contractual index or finally, discretionary permanent price increases that are applied mainly to deal with labor inflation, benefit inflation and things of those nature. And those obviously aren’t contractual, more bound by the 90-day lags. However, we do have some negotiation periods. But – so we have put in a combination of all three of those. And so I would tell you and based on the results, there have been quite a few of the discretionary permanent price increases to help cover other areas that we have seen inflation.
Reuben Garner: Got it. No, that’s very helpful. I think that latter part is maybe looks a little bit different here, clearly, in the results, a nice step up as well. Can – okay. The next thing I want to ask you is you mentioned conversations with your customers and clearly, you guys are feeling a little bit better about the second half of the year despite what’s going on. Is there any way to gauge how much of maybe that optimism about the next couple of quarters is tied to – I know some of your areas fenestration in particular, has been one of the more constrained areas, so I am assuming they have a lot of backlog. Is that the case? Is that why you have maybe increased visibility there? Any color on kind of what gives you the comfort that the second half, in particular, is going to kind of maintain some strength?
George Wilson: Yes. So, it’s exactly that, Reuben. I think we are already one month through our third quarter. And then when you look at our customers’ backlogs that in many cases, can extend out to three months to six months, both in cabinets as well as any of the fenestration product – projects. I think demand is pretty solid. I am not at all concerned on the revenue number. We don’t typically get that level of guidance, but when you see those levels of backlogs exist, it gives us that confidence. And so we monitor the backlogs quite heavily. And if we start seeing some significant reduction in those, we will be able to determine if demand is starting to drop. It should give us some visibility and time to prepare. On the question was asked earlier about as we get into a recession, I mean that will give us some indicators of what’s going. So, we feel pretty comfortable in our sideline at least for a six-month period, no.
Reuben Garner: Got it. Last one for me. It’s kind of a piggyback on the share repurchase question. Your balance sheet is in great shape, and I know you have got quite a bit of cash left to generate this year. Does – how do you guys – what’s the M&A landscape look like? Are you guys kind of pulling back the reins a little bit, just given the broader macro risks? Are you still willing to do a deal – a sizable deal if you were to find one? Are people more – businesses more or less likely to kind of sell in this environment?
George Wilson: Yes. I would answer that. We are not pulling back in any way. In fact, I think we are aggressively looking at opportunities in the market. With that being said, however, I will say that we are being very diligent in making sure that whatever we look at fits the strategic plan that we have developed and our roadmap to go forward and grow. It’s very defined, and we will follow that and not deviate from that path, and that we are going to make sure that we protect our shareholders by not over-paying and falling in love with something. I would tell you, generally, valuations are still very high. And we scrub these opportunities with a pretty fine tooth comb, and we are going to make sure it’s done for the right reasons and the right fit. But we are not backing away from looking at it at all.
Reuben Garner: Perfect. Congrats on the results and outlook, guys. Good luck going forward.
Scott Zuehlke: Thanks.
Operator:  Next question is from Kenneth Zener with KeyBanc Capital. Your line is open.
Christian Zyla: Good morning everybody. This is Christian Zyla on for Zener. Thank you for taking my questions.
Scott Zuehlke: Good morning.
Christian Zyla: Last quarter, you guys mentioned there is still room for expansion, specifically in NA Fenestration. Just clear you guys received some of that expansion. How do you feel about the potential left to expand those given the strong pricing and demand? I know you mentioned margin expansion for the back half, but I think maybe broken down by segment, if you can and the potential grab left. Thank you.
Scott Zuehlke: Yes, that first part of your question, we couldn’t understand. Could you repeat it?
Christian Zyla: Sure. In the NA Fenestration section, just your ability and potential left to grab or expand margins given the strong pricing and demand?
Scott Zuehlke: Yes. So, in our North American Fenestration segment, I think that’s what you said, opportunities to expand margin across the different products in that segment. I would say that we have talked in the past about the vinyl fencing product, and we continue to get opportunities to quote more of that business. That could drive some more of an expansion for that vinyl business. Our screen business, I think that’s going to be a matter of continuing to become more operating efficient and we are pushing price there as well. So, there is some opportunity, I think in the screens piece. And then for spacer, we have talked in the past, the margin profile for that product is good. I think you probably get some leverage there with higher volumes. So, to the extent we can grow volumes there, I think that would benefit on the margin side as well.
Christian Zyla: Great. Thank you. And then lastly, in terms of the three-month to six-month backlog for your customers, is part of that still driven by labor constraints that they are seeing? And do you guys have any visibility on the labor conditions? Is that improving? Has that stabilized? I guess any color for those backlogs and the relation with the labor constraints?
George Wilson: So, we don’t get into details of that discussion with our customers. But what we see, labor is still a challenge, although we seem to be having a little more success as we have talked about in previous. But I think that’s being driven by more of things that we are doing internally to help retain as well as a difference in what we are trying to do to attract. I think their backlogs are still really driven by two things: installer labor. So, not only labor in their facilities, but installation labor on the house build, there is a lot of open projects. New housing may have started to slowdown, but there is still a lot that are in process. So, it’s just slow to get any product through the chain. And then you still got some supply chain. I mean a lot of our customers source things from Asia and Shanghai Port was effectively closed for nine weeks to ten weeks, which has really caused some issues. So, nothing to do with our product line, but trying to get everything together. For example, in the cabinets, they are not going to put in a cabinet if they don’t have the stove, the refrigerator and those types of things, everything is going to go in and they time it up, and that’s been very challenging for the installation guys. So, I think it’s the combination of both labor and supply chain.
Christian Zyla: Great. Thank you very much.
Scott Zuehlke: I appreciate it.
George Wilson: Thank you.
Operator: Thank you. And this ends our Q&A session. I will turn the call back to George Wilson for his final remarks.
George Wilson: I would like to thank you all for joining the call today. And we look forward to providing an update on our next earnings call in September. Thank you.
Operator: And with that, we end our program for today. Thank you for participating, and you may now disconnect. Everyone, have a great day.